Operator: Good morning and welcome to the Suburban Propane Partners L.P.'s First Quarter Results. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions]. This conference call contains forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934, as amended, relating to the Partnership's future business expectations and predictions and financial condition and results of operations. These forward-looking statements involve certain risks and uncertainties. The Partnership has listed some of these important factors that could cause actual results to differ materially from those discussed in such forward-looking statements, which are referred to as cautionary statements in its earnings press release, which can be viewed on the Company's website. All subsequent written and oral forward-looking statements attributable to the partnership or persons acting on its behalf are expressly qualified in their entirety by such cautionary statements. Please note this event is being recorded. I'd like now to turn the conference over to Davin D'Ambrosio, Vice President and Treasurer. Please go ahead.
Davin D'Ambrosio: Thank you, Ailey [ph]. Good morning, everyone. Thank you for joining us this morning for our fiscal 2021 first quarter earnings conference call. Joining me this morning are Mike Stivala, our President and Chief Executive Officer; Mike Kuglin, our Chief Financial Officer and Chief Accounting Officer and Steve Boyd, our Chief Operating Officer. This morning we will review our first quarter financial results along with our current outlook for the business. Once we've concluded our prepared remarks, we will open the session to questions. Our Annual Report on Form 10-K for the fiscal year ended September 26, 2020 and Form 10-Q for the period ended December 26, 2020 which will be filed by end of business today, contains additional disclosure regarding forward-looking statements and risk factors. Copies may be obtained by contacting the Partnership or the SEC. Certain non-GAAP measures will be discussed on this call. We have provided a description of those measures, as well as the discussion of why we believe this information to be useful in our Form 8-K, which was furnished to the SEC this morning. The Form 8-K will be available through the link in the Investor Relations section of our website at suburbanpropane.com. At this time, I will turn the call over to Mike Stivala for some opening remarks. Mike.
Mike Stivala: Thanks, Davin, and good morning thank you all for joining us today. First, I hope you and your families all remain safe and healthy as our nation continues to contend with COVID-19. At Suburban Propane, we're continuing to take necessary precautions to protect the health and safety of our employees and customers while ensuring that we can seamlessly provide the outstanding essential services that our valued customers rely on. A brief update on the impact of COVID-19 on our business. As the first quarter progressed, we continued to see demand softness in the commercial sector albeit not to the extent of the declines that we experienced in the early part of the pandemic. These declines were offset somewhat by increased usage in the residential sector due to widespread stay at home initiatives as well as in certain other customer segments such as resellers, restaurants and others that benefitted from the demand for temporary portable energy solutions. All that said, customer demand in the fiscal 2021 first quarter was most affected by unseasonably warm weather that dominated the quarter throughout the majority of our services territories. In fact, November registered as one of the warmest on record and the overall heating degree day index for the quarter was 13% warmer than normal and 9% warmer than the prior year first quarter. Cooler temperatures kicked in towards the end of December and created some momentum heading into the second quarter. Throughout the first quarter our operations personnel did an outstanding job staying focused on adhering to our safety and operating protocols, managing margins and expenses and executing on our customer base growth and retention initiatives. Overall adjusted EBITDA was $80 million for the first quarter which was $5.4 million below the prior year and Mike Kuglin will give some details on that in a moment. On the strategic front, we continue to advance our growth initiatives with the acquisition of a well-run propane business in North Carolina as well as further investments in Oberon Fuels to support our collective efforts to commercialize renewable dimethyl ether as a blend with propane to reduce its carbon intensity. We are also committed to advancing our advocacy and innovation initiatives for the clean attributes of propane as a solution for a sustainable energy future and we achieved another important milestone for our Go Green corporate initiative with the recent official registration of our Go Green with Suburban Propane logo with the United States Patent and Trademark Office. So despite the challenges from the ongoing effects of COVID-19 pandemic. We remain focused on our strategic growth objectives which includes a combination of organic customer base growth, new market expansion through Greenfield development in attractive markets, investments in propane acquisitions and strategic diversification with a focus on building a renewable energy platform. All while continuing to also work toward our debt reduction targets to further strengthen our balance sheet. In a moment, I'll come back for some closing remarks however let me turn it over to Mike Kuglin to discuss the first quarter in some more detail. Mike?
Mike Kuglin: Thanks Mike and good morning, everyone. To be consistent with previous reporting as I discuss our first quarter results and excluding the impact of unrealized mark-to-market adjustments on our commodity hedges which resulted in unrealized gain of $4.9 million for the first quarter compared to unrealized gain of $2.8 million in the prior year. Excluding these items as well as non-cash equity in earnings of an unconsolidated affiliate was Oberon Fuels. Net income for the first quarter was $33.4 million or 50% per common unit compared to net income of $37.4 million or $0.60 per common unit in the prior year. Adjusted EBITDA for the first quarter was $80 million which was $5.4 million lower than the prior year. As Mike indicated first quarter earnings were most significantly impacted by lower demand resulting widespread unseasonably warm temperatures and continued softness in certain segments of our commercial and industrial customer base as result of the economic slowdown due to COVID-19. While weather and economic conditions were headwind for the quarter. We reported organic customer base growth and saw incremental demand in our residential and certain other customer segments. Retail propane gallons sold in the first quarter were 111.7 million gallons which was 7.8% lower than the prior year as a significantly warmer weather pattern more than offset the incremental usage from stay-at-home initiatives and from new temporary outdoor heating demand. Overall average temperatures across our service territories were 13% warmer than normal and 9% warmer than the prior year. The decrease in heating degrees days compared to the prior year were concentrated in the months of October and November as average temperatures for the two-month period were 20% warmer than the prior year and 18% warmer than normal which contributed to lower demand for heating purposes. For the month of December average temperatures were 9% warmer than normal and comparable to December, 2019. Unseasonably warm temperatures to widespread were particularly concentrated in our east coast and mid-west markets. From a commodity perspective wholesale propane prices increased rather steadily during the quarter primarily due to decline in US propane inventory levels resulting from higher propane exports. Overall average wholesale prices for the first quarter were $0.57 per gallon as basis Mont Belvieu mobility, which was 15% higher than the prior year first quarter and the prior sequential quarter. According to most recent report from the [indiscernible] US propane inventory levels were 58 million barrels which is 25% lower than year ago and 9% lower than the five-year average for this time of the year. Given the continued decline in the nascent propane inventory along with other factors propane prices have continued to rice. This week wholesale propane is in the $0.85 to $0.90 per gallon range [indiscernible] increase of about 28% from the end of the first quarter and 115% from the comparable period last year. Total gross margins of $197 million for the first quarter decreased $15.5 million or 7.3% compared to the prior year primarily due to lower propane volume sold. Excluding the impact of the mark-to-market adjustments I mentioned earlier propane unit margins were slightly higher than the prior year despite the challenges from the rising commodity price environment and competitive landscape. With respect to expenses, combined operating and G&A expenses of $116.1 million for the first quarter decreased $10 million or 8% compared to the prior year primarily due to lower variable volume related operating cost, savings from various cost containment efforts including lower payroll and benefit related cost and lower variable compensation expenses. In addition, the prior year included a charge of $5 million for the settlement of certain product liability and other legal matters. Net interest expense of $18.1 million for the first quarter was $1 million or 5% lower than the prior year primarily due to lower level of average outstanding borrowings under our revolving credit facility coupled with reduction and benchmark interest rates. Total capital spending for the quarter of $5.8 million was $7.2 million lower than the prior year due to higher level of investments made in the prior year for new technologies and equipment utilized by our field personnel to enhance the customer experience and drive incremental operating efficiencies as well the timing of tank and cylinder purchases to support customer growth. Turning to our balance sheet, given the seasonal nature of our business. We typically borrow under our revolving credit facility during the first quarter to help fund a portion of our seasonal working capital needs as well as for investments and our strategic growth initiatives within the quarter including acquisition funding. With that said, despite borrowings to fund our normal working capital requirements and the acquisition that Mike mentioned in his opening remarks our total debt as December 2020 was approximately $50 million lower than December of last year. At the end of the first quarter our consolidated leverage ratio for the trailing 12-month period was 4.86 times which was slightly higher than where we ended the prior year first quarter, due to the impact of warmer weather on our earnings, yet well within our debt covenant requirement of 5.75 times. Our working capital needs typical peak towards the end of the heating season late February or early March timeframe after which we expect to continue reducing outstanding borrowings on revolver with cash flows from operating activities. With our continued focus on investing excess cash flow in a balanced way with strategic investments and debt reductions combined with improving earnings profile will begin to see our overall leverage metrics improved toward our target threshold of below four times. We have more than ample borrowing capacity under our revolver to fund our remaining working capital needs for the heating season as well as to support our strategic growth initiatives. Back to you Mike.
Mike Stivala: Thanks Mike. As announced on January 21, our board of supervisors declared our quarterly distribution of $0.30 per common unit in respect of our first quarter of fiscal 2021 which equates to an annualized rate of $1.20 per common unit. Our quarterly distribution we'll pay it on February 9th to our unit holders of record as of February 2nd. Our distribution coverage continues to remain strong at 1.48 times based on our trailing 12-month distributable cash flow despite the slightly lower earnings for the quarter. However considering the annualized cash requirements at our current annualized distribution rate of $1.20 per common unit our pro forma distribution coverage is more like 2.2 times. Looking ahead, now that we are six weeks into the fiscal second quarter. The cooler temperatures that started at the end of December have persisted into the early part of the second quarter. Average temperatures have been colder than the comparable period in the prior year yet remained below normal levels for this time of year. Heat related customer demand has responded to this period of sustained cooler temperatures which has impacted significant portions of our operating footprint. There's still plenty of heating season ahead, operationally we are very well positioned to meet increased heat related demand and to adapt to changing demand patterns including in the event we experienced a shift back to unseasonably warm weather or are faced with further demand softness from COVID-19 restrictions. Financially, we've more than adequate resources to continue to advance our strategic growth initiatives. As our nation recovers from the economic and health effects of COVID-19, we expect to see additional opportunities for the clean burning, cost effective and versatile qualities of propane as a solution to support that recovery and to help achieve long-term sustainability goals. And finally, I'd like to once again thank all of the more than 3,200 employees at Suburban Propane for their unwavering focus on the safety and comfort of our customers and the communities we serve especially during these ongoing challenging environments. As always, we appreciate your support and attention. I would now like to open the call for questions and Ailey [ph] would you mind helping us with that?
Operator: [Operator Instructions] At this time I'm not showing any questions. So I would like to turn the conference back to Mike Stivala.
 :
 :
Mike Stivala: Great, thank you, Ailey [ph] and thank you all for your attention. Stay warm, cool weather is here. We're excited to see the demand pick up and we look forward to talking to you in early May to talk about our second quarter results. So thank you again.
Operator: The conference is now concluded. A replay of the call can be accessed by dialing 1-877-344-7529 and entering code 10150800. Thank you for attending today's presentation. You may now disconnect.